Operator: Good afternoon and welcome to Aquestive Therapeutics Third Quarter 2018 Conference Call. At this time all participants on a listen-only mode. Later, there will be a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this call will be recorded. I would now like to introduce your host for today's conference Miss Stephanie Carrington, ICR Investor Relations. You may begin.
Stephanie Carrington: Thank you, Operator. Good afternoon and welcome to today's conference call to review Aquestive Therapeutics results for three months ended September 30th 2018. On this call, I am joined today by Keith Kendall CEO, Ken Marshall, Chief Commercial Officer, Dan Barber, Chief Strategy and Development Officer, John Maxwell CFO and Lori Braender, General Counsel. I trust that you've seen the press release that was issued this afternoon after market closed. It includes the results for the three months ended September 30th 2018, as well as an operational update. If you have not, the press release is also available on the Investor Relations posted on the Aquestive Therapeutics website. On today's call, Keith will provide clinical and business highlights for the third quarter 2018, followed by Ken who will provide the commercialization update and Dan will provide a more in-depth review of the update of the proprietary product pipeline and the partner products. John will then review the company's financial results for the three and nine months ended September 30th, 2018. We will then open the call to your questions and expect this call to last approximately 60 Minutes. As a reminder, the conference call is being recorded and will be available on Aquestive Therapeutics Investor Relations website shortly following the conclusion of today's call. During the call, the company will be making forward looking statements. Remind you of the company's safe harbor language as outlined in today's press release as well as the risks and uncertainties affecting the company as described in the Risk Factors section included in its registration statement on Form S-1 declared effective by the SEC on July 24th, 2018. As with any pharmaceutical product candidate, underdeveloped, there are significant risks with respect to the development regulatory approval and commercialization of new products. Given these uncertainties, you should not place undue reliance on these forward-looking statements which speak only as of the date made. All subsequent forward looking statements attributable to Aquestive Therapeutics or any person acting on behalf are expressly qualified in their entirety by this cautionary statement. The company assumes no obligation to update its forward looking statements after the date of this conference call, whether as a result of new information, future events or otherwise, except as required under applicable law. With that, I will now turn the line over to Keith
Keith Kendall: Thank you, Stephanie. Thank you everyone for joining today's call. Let me take this opportunity to remind everyone that Aquestive is a fully integrated, specialty pharmaceutical company committed to identifying, developing and commercializing differentiated products. Over the past few months, we've made significant strides in advancing our business on multiple fronts. To complement our ability to solve patient and caregiver problems and our world class manufacturing capabilities, we've assembled an experienced commercial team. This will better enable us to advancing commercialize products, and product candidates that leverage our differentiated PharmFilm technology. We have continued to build out our commercial organization as we get set for the launch of our CNS products. We added sales and marketing expertise with experience in over 50 product launches. We continue to expand and strengthen our executive team to bring the needed skills and experience to grow and perform as a specialty pharmaceutical company. We added a General Counsel with extensive experience in the life sciences field, as the Chair of the life sciences practice group at a former firm. We strengthened our board of directors as a public company, by adding Nancy Lurker and naming Sandy Costa as Chairman. Sandy, who joined our board in 2015, brings over 40 years of experience in the pharmaceutical healthcare and life science industries, and Nancy who is the current CEO of EyePoint Pharmaceuticals deepens the strategic expertise available Aquestive as it seeks to commercialize its proprietary portfolio of product candidates. Last week, we received approval from the U.S. FDA for SYMAPAZAN, our oral soluble film formulation of Clobazam. Over the past year, we've devoted considerable resources to preparing for the launch of SYMAPAZAN. We just completed our national sales meeting and have a well-trained and enthusiastic 30 person sales force, prepared to start detailing SYMAPAZAN. We've manufactured SYMAPAZAN and are preparing for distribution. SYMAPAZAN will be available to patients by the third week of November. As outlined in today's release, we continue to advance our proprietary CNS pipeline, more specifically advancing toward filing the NDA for Libervant, our investigational diazepam buccal film. This novel formulation of diazepam is a small thin film strip that will be placed inside the cheek, and has the potential to provide caregivers with a differentiated dosage form compared to the FDA approved rectally-applied gel. In mid-October, we completed the clinical study report for our adult epilepsy monitoring unit study. The data will be presented as a late breaker poster at the American Epilepsy Society's Annual Meeting in early December. As Dan will elaborate shortly, we now have a pre NDA meeting scheduled for mid-December, and the outcome of this meeting will inform our strategy and timing for the submission of our NDA filing. Related to our proprietary complex molecule pipeline, we're on track to commence another Phase 1 proof of concept study in 2019 for Aquestive 108, our sublingual formulation of epinephrine in development for the treatment of anaphylaxis. In the third quarter of this year, we commenced the Phase 1 proof of concept study for Aquestive 305, our sublingual formulation of our octreotide in development for the treatment of acromegaly. In our existing business, Suboxone revenues remained strong through the third quarter of 2018. Volume was up 6% for the first nine months of 2018, compared to last year. I'm going to transition now and ask Ken Marshall to discuss the commercialization initiatives and launch plans following last Thursday's FDA approval of SYMPAZAN. Ken?
Ken Marshall: Thanks, Keith. As Keith mentioned, we received FDA approval on November 1st for SYMPAZAN as the first oral film approved to treat seizures associated with LGS. This is an important milestone for Aquestive and is being very well received by the LGS community. In preparation for the launch of SYMPAZAN, we spent the last 18 months speaking with over 250 health care practitioners, 80 caregivers and select patients with epilepsy. Those conversations have provided clearer insights into the disease's, burden and its management. We’ve aligned our strategy accordingly, built on our commercial team and developed a focus group of tactics, now it's all about execution. We’ve built a 30 person sales team led by three seasoned regional directors. They’ve all completed home study and most recently, live training in Orlando at a national sales meeting. In conjunction with last week's Orlando meeting, we train a faculty of 30 clinicians to support our speaker’s bureau. Our sales teams in the field as we speak, introducing the company, PharmFilm, scheduling appointments and peer meetings. As they sell in SYMPAZAN, they're also educating physicians on PharmFilm technology and its value when addressing challenges with epilepsy treatment. This will help prepare the market for the introduction of Libervant next year, given the strong overlap in target prescribers. We envision both products forming the foundation for a meaningful epilepsy franchise that will establish a questions reputation amongst physicians and patients as an organization that solves therapeutic problems. We’ve built a distribution network to ensure SYMPAZAN supply in pharmacy. SYMPAZAN will be widely available for prescription by the third week of November and we expect the first patients to start dosing by the end of the month. SYMPAZAN will be available as a very flavored strip in 5 milligram, 10 milligram and 20 milligram strings, and packed in boxes of 60s, which is one month's supply. We’ve benchmarked several innovative products in the class and arrived at a wholesale acquisition price for a 10 milligram box of SYMPAZAN of $1560 per month. The 5 milligram and the 20 milligram will be priced linearly. This makes our monthly wholesale acquisition cost competitive with the recently announced generic liquids. This will help ensure healthcare practitioners can prescribe SYMPAZAN when they feel there is a medical need. We've also put a program, we've also put programs in place that will allow patients with commercial insurance to pay as little as $10. To complement those efforts, we've launched a fully integrated multi-channel branded SYMPAZAN campaign, engaged major advocacy associations to help educate and inform their members about SYMPAZAN. We had a significant unbranded presence at the Child Neurology Society annual meeting last month in Chicago, and we plan to have a significant SYMPAZAN presence at the American Epilepsy Society at the end of this month in New Orleans. That will include a full SYMPAZAN branded presence, both the commercial and medical booth, advisory meeting, one-on-one3 meeting, presence in the innovation pavilion, and three posters one of which is specific to SYMPAZAN that were off and running. Now how do we view the market? As we assess a market opportunity, we consider three important areas. First, does the product have clinical utility? Second, does the product fit in the normal course of the clinic and caregivers live. And finally, is the medicine available and cover? First, let's talk about clinical utility. Fundamental to any new product success is the development of deep market insights, tightly aligned strategies and focused programs that clearly connect the market need with your products relevant attributes. As noted earlier, we've conducted numerous interviews with health care practitioners and caregivers. In those interviews, we quickly confirm that Clobazam, the molecule is viewed as one of the most effective and tolerable molecules at a health care practitioner's disposal. Confirming that insight is the fact that it's prescribed approximately 500,000 times a year, but a molecule is only as good as its ability to be delivered. The challenge with Clobazam and the LGS population is ensuring consistent, complete, dosing so patients get the benefits of the treatment. In the LGS population, many caregivers resort to crushing tablets or use liquids that can easily be expelled. SYMPAZAM, Clobazam on our proprietary PharmFilm platform provides an alternative when those approaches proved to be problematic. Now how about fit in the clinic, and with caregiver and patient lives. The Fit in the clinic as well as the point of administration are obvious. Each dose of SYMPAZAM is contained in a child resistant foil pack. It provides the full dose of Clobazam and a strip that sticks to the tongue and quickly dissolves. Our data shows it's easy to apply and effective in delivering the medicine. LGS caregivers who saw or tried our product were quick to tell us its advantages versus other forms of administration. Finally, access and reimbursement. Once the health care practitioner or caregiver agrees that SYMPAZAM is the right medicine, it's critical that the product be available and covered. To that end, we have a seamless distribution pipeline that includes both retail and specialty distribution. In September, we launched the team of six managed care account managers focused on the top 50 payers representing over 280 million lives. As that team works through the process of getting coverage, we've made programs available to help health care practitioners address prior authorizations or step edits that their patients, insurers may have in place. We also have a coupon for commercially insured patients that allows them to pay as little as $10 per prescription. We want to eliminate economics as a barrier and ensure health care practitioners can prescribe and patients are able to receive SYMPAZAM when it's been medically necessary. In conclusion, we understand our market and how SYMPAZAM adds value. We've built, trained and targeted a fully integrated sales organization. We also have a team focused on coverage as well as programs to support access in the early stages of our launch. Thank you. And now I'll transition to Dan Barber.
Daniel Barber: Thanks, Ken. We have made significant progress over the last few months in advancing the development of our proprietary CNS product candidates, and our proprietary complex molecule candidates. For our CNS candidates, these are being developed pursuing the FDA 505(b)(2) pathway. As Keith and Ken mentioned, we received FDA approval of SYMPAZAM, our oral soluble film formulation of Clobazam on November 1st following the recent expiration of ONFI’s orphan drug exclusivity. I wanted to highlight that one poster pretending to SYMPAZAM was accepted and will be presented at the American Epilepsy Society 2018 Annual Meeting in December. This poster presentation relates to the pharmacokinetics data presented to the FDA to support the approval of SYMPAZAM. The next product I will highlight today is Libervant. Libervant is our investigational diazepam buccal film or DBF for short, and it's being developed to address many of the challenges that caregivers of epilepsy patients continue to face. As many of you know, the only non injected formulation of diazepam approved for the acute treatment of seizures is a rectally applied gel. In late October, we announced the completion of our clinical study to assess the pharmacokinetics and safety of DBF in adult patients with epilepsy. This study was performed in an epilepsy monitoring unit or EMU, and we announced positive results which were similar to the previous interim data. Results indicated that Libervant provides comparable bio availability whether administered between seizures or during and shortly after seizures in adult epilepsy patients. Results from this study have been accepted for a late breaking poster presentation at the upcoming 2018 meeting of the American Epilepsy Society, and we plan to disclose additional details related to the adult EMU clinical study at that time. We are in ongoing dialogue with the FDA regarding Libervant, and recently received confirmation that we have been granted a face-to-face pre-NDA meeting for mid-December. At this meeting, we plan to share with the agency the data from our adult EMU study, our population pharmacokinetics model, and the long term safety data that we have gathered to date. The outcome of the pre-NDA meeting will then inform our submission strategy for Libervant. We are optimistic that the FDA will agree with the submission plan that we will present at the pre-NDA meeting. If we do gain agreement with the FDA, we plan to begin our filing process immediately after the pre-NDA meeting. In addition, given fast track designation, we plan on requesting priority review in our filing, which would potentially shorten the review period from 10 months to as little at 6 months. Our third proprietary CNS candidate is AQST-117 an oral soluble film formulation of riluzole for the treatment of ALS. We have completed multiple pharmacokinetics studies characterizing AQST-117 against the reference listed drug. As we have mentioned in the past, the FDA had previously requested a swallowing study in patients with ALS. The original design for this study called for enrolling approximately 25 patients with ALS. Last quarter, we shared a set of interim results with the FDA and requested permission to shorten the study. In our view this study placed an unnecessary burden on patients. This coupled with the strong interim results were enough to convince the FDA to allow us to shorten the study. We have since closed enrollment in the study and are awaiting final results. We anticipate sharing these results publicly later this year and we continue to plan for an NDA filing in the first quarter of 2019. Now we will turn to AQST-108, our sub lingual film formulation of epinephrine which is in development for the treatment of anaphylaxis. As a reminder, AQST-108 has the potential to be the first oral treatment for anaphylaxis, and we generated initial proof of concept data in 2017. We plan on commencing our next Phase 1 proof of concept study with our enhanced prototype in the first half of 2019. Once we have the results from the proof of concept study, we will assess the next steps. In December, we will also hold an advisory board meeting with a handful of well-known care wells in this space to discuss the needs of the target patient populations and our clinical development strategy. Our second complex molecule program is AQST-305 our sub lingual formulation of octreotide in development for the treatment of acromegaly. This program is progressing on schedule, and we commenced a human proof of concept study in the third quarter of 2018 in Canada. Similar to the AQST-108 program, we anticipate using the findings from this study as the basis for enhancing our prototype in 2019. We then plan to move forward with dosing in humans with this enhanced formulation in mid 2019. As a reminder, we have an FDA action date of November 18th for AQST-119 our oral soluble film formulation of tadalafil, a vasodilator that is used to treat erectile dysfunction. We have answered all of the FDAs question and we remain optimistic on receiving a tentative approval on the 18. As outlined previously, our strategy is to seek a commercialization partner for this product. Our partnership with Mitsubishi Tanabe continues to progress, and we completed the first phase of development for film formulation of edaravone in October of 2018. We are currently in discussions with Mitsubishi Tanabe on the next steps for this program. With that, I will now turn the light over to John Maxwell who will recap the third quarter 2018 financial results.
John Maxwell: Thank you Dan. We continue to generate strong revenue and gross profits from our collaborative partnership products most importantly the manufacture and licensing of Suboxone and the licensing and development work for various other collaborative products which Dan covered in his comments. During the 2017 and 2018 comparative periods, we receive significant licensing payments from our partners most importantly related to Suboxone and apomorphine, a Sunovion product with the PDUFA date in late January 2019. The simplest way to look at our revenue will be to back out the often lumpy license payments and the comparable periods and look at manufacturing and co development revenues independent of license fees. On a GAAP basis Aquestive reported $13.3 million in total revenue in the third quarter of 2018 compared to $27.1 million for the third quarter 2017. After excluding license fees of $17 million in the third quarter of 2017and $3 million in the third quarter of 2018, total revenues were flat quarter-over-quarter. Co-development and research fees in the third quarter of 2018 were affected by the timing of revenue recognition for a little less than $1 million related to milestones in those development efforts that cause the revenue to go from late Q3 to Q4. On a year to-date basis excluding license fees and milestone payments from collaborative products revenues were higher by approximately 6% driven by Suboxone volume as well as higher co-development and research fees related to various collaborative development efforts. Now let's turn our attention to expenses and cash flow. Total cost and expenses were about $23 million in the third quarter of 2018 compared to $17 million in the same quarter of 2017. This increase was mostly driven by the work we did to prepare for the launch of SYMPAZAN in the fourth quarter. We expect of these increased expenses will continue in the fourth quarter as we launch SYMPAZAN. Manufacturing and supply expenses were also higher on relatively stable volume, but with all with some preparation costs related to the SYMPAZAN launch. Research and development expenses were lower in the 2018 due to the timing of our work on various clinical development initiatives. The company also recorded a non-cash expense of $4 million and the other expense line in the third quarter related to the valuation of preceptors warrants which were exercised at the IPO date. This expense will not continue in future periods. On a year-to-date basis total expenses were approximately $87 million in 2018 compared to $48 million in 2017, excluding the $27 million one-time charge in the second quarter of 2018 related to the termination of the company's plan ahead of the IPO, expenses in 2018 nine-month period were about $12-$13 million higher than they were 2017. This increase came from three primary sources higher Suboxone volume expenses related to the symbols and commercial launch and the non-cash warrant valuation expenses that I mentioned earlier. In addition R&D was higher year-over-year due to the timing of clinical work on Libervant and/or complex molecules. We ended the third quarter of 2018 with cash of $64 million. We used approximately $11 million of cash during the third quarter. As we go into the fourth quarter and launch SYMPAZAN, we would expect to continue to burn cash at approximately the same rate as we did in the third quarter. Operator, we will now open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Gary Nachman with Bank of Montreal. Your line is open.
Unidentified Analyst: Hi. This is Jen Hunter [ph] on for Gary. Thanks very much for taking the questions. For SYMPAZAN what should we model for gross to net on the early discount on the early stages of launch? And can you tell us more about your copay programs to patients sampling, things like that? And also how many additional reps above the 30 which you expect to add for Libervant? And when would that happen?
Keith Kendall: Okay. Sure. And thanks for the question. I’m going to let Ken Marshall to take that question for you.
Ken Marshall: There were several questions, if I skip, everyone remind me.
Unidentified Analyst: Thanks.
Ken Marshall: And I’ll start with our couponing program. We’ve got an aggressive couponing program that we will announce to the market and actually mentioned in this call. We’re going to ensure that folks with commercial insurance pay as little as $10 as we negotiate with payers to get more broad access. So I think that’s a key piece. We want to make it a medical decision rather than an economic decision on a prescription – when the physician decides to write a prescription, yet a question around number of representatives. And…
Unidentified Analyst: Yes. How the number would increase with Libervant, but also maybe more on like sampling and gross to net. I know you talked about commercial reimbursement, but how about Medicaid/Medicare?
Keith Kendall: Okay. Hang on a second, so I can take them in order. From a sample standpoint we actually don’t sample, these are scheduled medicines. We do have demonstration stripes. That’s a very important part of the experience with our platform. So our representatives will have quite a few of those. We’ll also make them available to caregivers so that everyone can experience the platform. So you asked about Medicare or Medicaid, I’m sorry. Yes, that is a significant portion of the market. It’s about 60% when you look at the prescriptions. We certainly will engage the states, each one behaves differentially, but we certainly anticipate getting business out of Medicaid and we’ll contract for access in that. And then you had a question on the number of sales representatives.
Unidentified Analyst: Sure.
Keith Kendall: Go ahead. Did you want me to do that? So we have 30 sales representatives now two inside, 28 outside and three regional sales directors. As we prepare for Libervant we certainly really expand that field salesforce. It will likely end up in the range of 50. We haven’t done the formal territory cuts on that, but that’s probably not a bad estimate.
Daniel Barber: We’re not projecting a gross to net number yet. Obviously, we’re positioning ourselves to make sure that we have access and Ken can certainly talk that at a high level, but we’re not going to project our gross to net yet at this point as we know the market little shift for the most of the year.
Unidentified Analyst: Okay. Thank you. And if I could ask one more, could we talk about Suboxone and how overall demand has been? And how that’s going to trend over the next year?
Keith Kendall: This is Keith. I think you have to look to Indivior commentary about what they view the overall market is. The volume that we are experiencing in the orders that they’re placing remain strong. We’re up about 6% year-over-year. That market continues to grow in double digits and Sublocade is not eroding that market at the rate that originally was expected. So we would expect continued strong volume for Suboxone film.
Unidentified Analyst: All right. Thank you. Very helpful.
Operator: Thank you. Our next question comes from Randall Stanicky of RBC Capital Markets. Your line is open.
Unidentified Analyst: Hi. This is Ben Bud [ph] in for Randall. I have two questions. Starting off, speaking with SYMPAZAN, we saw a quite a few generic ONFI approvals on the oral suspension format. I think that might have been five or so. Has this change, the way you’re thinking about competitive dynamics in that market and particular sustainability of pricing?
Keith Kendall: Ken, you want to take that.
Ken Marshall: Yes, sure. Yes. There were five that announced and they all have various Vacs [ph]. If you look at where we get around Vac we’re competitive with those when you look at that on the monthly basis. We’re certainly contract for access here. Also I want to make a point that the liquids are not substitutable with the strip. These products are not AB rated and we feel like we have a material different and better value proposition. So we recognize we need to be competitive with price, but we certainly feel comfortable with our Vac.
Unidentified Analyst: Okay, great. And then just a couple on Libervant. First off, how you’re thinking about the competitive landscape developing over the next year – couple of years especially with the UCB’s midazolam nasal spray potentially receiving approval early next year? Does this impact your commercial strategy at all?
Keith Kendall: Sure. This is Keith. I’m going to let Dan handle that question for you.
Daniel Barber: Yes. From a competitive landscape perspective we’re very comfortable with the comparison to nasal sprays. We did quite a bit of market research leading into our development program around patient’s preference and the issues associated with nasal sprays. Our plan has always fully expected, programs like the UCB program to be in the market and our projections are based on what we believe is our fair component in the market with nasal spray is available.
Unidentified Analyst: Okay, great. That’s helpful. And last one just on the NDA submission strategy for Libervant. Are there any more details you can provide around that or layout the different options if there’s a few of them?
Keith Kendall: We’re going to have our pre-NDA meeting in December and we’re prepared to file. We think we’ve done all the work that the FDA has asked us to do. We’ve had an extensive series of interactions with them on this product. As it’s been developed, we think we’re ready and we hope they agree. If they don’t we will work as quickly as we can to answer whatever questions they ask or we will work as quickly as we can to do whatever additional work they require and get to a filing as quickly as possible. We are prepared to file as soon as we come out of that meeting if we come out within an agreement.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. Our next question comes from Liana Moussato with Wedbush Securities. Your line is open.
Liana Moussato: Thank you. For SYMPAZAN, how long [Indiscernible] done a lot of preparation for commercialization, how long until it’s fully reimbursed?
Keith Kendall: Ken, you want to take that?
Ken Marshall: Yes. If you look at history in reimbursement normally when you enter a market about a third of the lives or open lives, so you started around 35% and around 10 months on average you’d see about 70% of lives covered in and that point small changes in that as people add you and drop you. And in our minds you would have the series of program to help offset copayment for patients which is really the key question making sure that patient have access geo-medicines, we would continue our couponing program throughout the year.
Liana Moussato: So, by the end of next year you would expect full on reimbursement?
Ken Marshall: Yes. If you would define full is around 70% of lives coverage, you’re not going to get a 100% of lives.
Liana Moussato: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Jason Butler with JMP Securities. Your line is open.
Jason Butler: Hi. Thanks for taking the questions. I had two. One, for the riluzole product, can you just walk us through what we should be looking for when we see results from that program later this year? And the second one, looking forward through the -- to the Libervant launch, just – if you can just review so as where the overlaps are with the SYMPAZAN sales efforts and what you'll benefit from there from being out in the market was SYMPAZAN already when you launch Libervant? Thanks.
Daniel Barber: Hi, Jason. This is Dan. I’ll take the riluzole question, and then I’ll pass it over to Ken for the second question. From a results perspective, we obviously haven't shared those externally but just to define what study was. The study took a variety of mediums, liquids and solids and ALS patients would swallow those mediums and then a variety of tracking stats and videofluoroscopy were used to rate the experience that the ALS patient had in swallowing the different mediums. There was then a brief break. And our film was given and the same set of steps and videofluoroscopy was analyzed as well. And obviously a bad result would have been if our film was harder than the mediums and a good result would be if our film was the same or better than. Like I said we haven't released results. We plan on doing that in the coming weeks, but suffice it to say we are full steam ahead on moving to our filing.
Jason Butler: Great. Thanks Dan.
Daniel Barber: I’ll now pass it over to Ken, for the second question.
Ken Marshall: Okay. Thanks Dan. Libervant and how the launch of SYMPAZAN will help prepare us for that. First of all our target audience has about a 95% overlap when you look at the folks who prescribe this. And these are two very important medicines and they’ve use very broadly in that epilepsy figure group. And then secondly it will help us understand the inner workings of an office. We’ll have relationships with the office staff. We’ll understand their workflows. We’ll have a good understanding of access and reimbursement clinic by clinic. And then as we build towards a Libervant launch we certainly would expand the salesforce to get more frequency in those important targets. As the picture around approval gets clearer, we would expand our salesforce as I mentioned earlier to a range of around 50.
Jason Butler: Great. Thanks for taking my questions.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the call back over to Keith Kendall for closing remarks.
Keith Kendall: Well, thank you everybody for joining the first Aquestive earnings call. We appreciate your time and attention. We obviously are very excited about the significant progress our teams made over the past few months. We are very very excited to dive into the commercialization for SYMPAZAN and to continue to move Libervant and riluzole down their paths over the course of the rest of this year. We look forward to catching up with many of you at some upcoming investor conferences including the Stifel conference in November, the BMO Durable Goods conference in the first week of December, BMO's Prescription for Success Healthcare conference on 12th of December. And as we discussed our team we’ll have a full complement to people at the American epilepsy Society annual meeting starting November 30 in New Orleans. And we -- if you are around this, could you stop by and we’re happy to happy to talk about the efforts that are going on there. Okay. With that operator we’ll now conclude today’s call.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. Thanks for your participation and have a wonderful day.